Operator: Good day, ladies and gentlemen, and welcome to the Gordmans Stores, Inc. Second Quarter 2013 Earnings Conference Call. My name is Gabby, and I will be your operator for today's call. [Operator Instructions] I would now like to turn the call over to your host today, Brendon Frey of ICR. Brendon, please go ahead.
Brendon Frey: Thank you, and good morning. Before we begin, I'd like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC and our earnings release. I'd now like to turn the call over to Jeff Gordman, Gordmans' President and CEO.
Jeffrey J. Gordman: Good morning, and thank you for joining us to discuss our operating results for the second quarter and first 6 months of fiscal 2013. With me is Mike James, our Chief Financial Officer; and Mike Morand, our Chief Merchandising Officer. I will start the call with a brief discussion regarding the special cash dividend recently declared by our Board of Directors and announced in our press release this morning. Next, I'll provide a presentation of operating highlights from the second quarter and first half of the year, followed by an update on our store expansion plans. Mike will then present our financial results for the quarter and first half of the fiscal year in more detail, as well as discuss our guidance for the third quarter. Finally, I will highlight a few strategic and tactical initiatives that will contribute to improved operating results as the second half of the year progresses, as well as over the long term. We will conclude by fielding any questions you may have related to the topics covered in today's call. First off, our Board of Directors has declared a special onetime cash dividend of $3.60 per share to be paid on September 23, 2013. Underpinning our decision to issue a special dividend was our stagnant stock price and strong balance sheet, enabling us to fulfill our obligations to maximize shareholder value while simultaneously meeting the strategic needs of expanding our business. Further supporting our decision is the company's strong history of cash flow generation, combined with the favorable financing terms we are able to secure. We are financing the special onetime dividend through use of existing cash of approximately $25 million and a new 5-year $45 million senior term loan with Cerberus Business Finance. The loan contains an early payment provision exercisable at the company's option, pursuant to which the company may repay all or a portion of the outstanding principal amount subject a small pre-payment penalty. In addition, the company has refinanced its revolving line of credit with Wells Fargo to increase the loan limit by 33% to $80 million. Moreover, the interest rate in unused line fees were reduced and the maturity date was extended by 3 years to 2018. We have not borrowed against this facility since 2011 and currently have 0 borrowings. With respect to our financial highlights, net sales increased by 6.7% in the second quarter, which is attributable to the 9 new stores opened in fiscal 2012 and the 3 new stores opened in the first quarter of this year. We also opened 4 new stores and entered 3 new markets in the last few weeks of the second quarter. Comparable store sales declined by 2.6% in the quarter, a significant improvement from first quarter sales results. Apparel generated a low single-digit comparable store sales increase in the second quarter led by our Men's and Children's divisions, while our Home and Accessories businesses incurred high single-digit comparable store sales decreases. Sales from the 9 new stores we opened in 2012 and the 3 new stores opened in the first quarter of this year are performing within range of our new store model. As a result, we remain confident in the scalability of our business model across a significant number of new and existing markets throughout the country. Earnings per share of $0.05 for the second quarter exceeded our earnings guidance of $0.03 per share due to favorable variances in store labor expenses and preopening expenses, but were below last year's earnings per share of $0.18. Regarding expansion during the second quarter, we opened 4 new stores going into the back-to-school season, all of which were in new markets including Albuquerque, New Mexico and Milwaukee. We will open 3 stores in the third quarter this year in 2 new markets, as well as a second store in Albuquerque. Half of our new stores for 2013 are new construction projects and developers are funding over 95% of the $37 million in total capital costs for all 2013 stores. We will end the year with 93 stores in 19 states, a 12% increase in our store base and an almost 40% increase over the last 3 years. We made significant progress with respect to our store expansion plans for 2014. We have fully executed leases for 5 stores, including our first in Texas and Michigan, and fully negotiated leases for 3 more locations. 5 of these 8 stores are new ground-up construction developments and developers are funding 96% of the $31 million in capital costs associated with these 8 stores. We are also in the midst of negotiations for several potential stores for fiscal 2015 openings and already have 2 fully executed letters of intent, including our first location in Ohio. Mike will now present our financial results for the second quarter and first 6 months of fiscal 2013 in more detail, as well as our guidance for the third quarter and fiscal year.
Michael D. James: Thanks, Jeff, and good morning. Net sales for the second quarter of fiscal 2013 increased $8.5 million or 6.7% to $137 million as compared to $128 million in the same period last year. This increase was due to the new stores opened during the last 3 quarters of fiscal 2012 and the new stores opened during 2013. Comparable store sales decreased 2.6% in the quarter, driven by a decrease in comparable transactions, partially offset by increases in the average sale per transaction and units per transaction. For the first half of the year, net sales increased $6 million or 2.3% to $268 million, as compared to $262 million last year. This increase was due to the new stores opened last year and new stores opened during the first half of this year as comparable store sales decreased 6.7%, due primarily to a decrease in the number of transactions. Gross profit, which includes license fees, increased 0.9% to $59.2 million, and license fees from lease departments increased 9.1% to $1.8 million for the second quarter. Gross profit margin was 43.3% compared to 45.8% last year, a 250 basis point decrease driven by higher markdowns required to manage inventory levels and a negative comp sales environment. For the first 6 months of the year, gross profit decreased 3.3% to $118 million, while license fees increased 3.7% to $3.7 million. Gross profit margin was 44.1% compared to 46.6% last year, also a 250 basis point decrease, primarily driven by higher markdowns. SG&A expenses for the quarter were $57.6 million or 42.1% of sales versus $52.9 million or 41.3% of sales in the prior year, an 80 basis points increase primarily due to a lack of sales leverage, which accounted for a 20 basis point increase in store expenses related to higher occupancy costs, consulting fees and higher payroll costs, partially offset by lower benefit in utility costs. A 20 basis point increase in advertising expenses related to the loyalty program, which launched in the second quarter of this year. In addition, depreciation expense increased by 50 basis points due to an -- due to increased property additions associated with new store openings and investments in upgrading our information technology systems. These increases were partially offset by a 20 basis point decrease in distribution center expenses, primarily related to leverage provided by higher total sales and lower payroll expenses, which resulted from lower -- processing lower merchandise receipts. SG&A expenses for the first half of the year were $111.3 million or 41.5% of sales, versus $103.4 million or 39.4% of sales last year, a 210 basis point increase, driven primarily by a lack of sales leverage, which accounted for a 120 basis point increase of store level expenses and a 20 basis point increase in corporate expenses. In addition, depreciation expense increased by 60 basis points. Net income for the second quarter of $900,000 compared to $3.5 million last year, a 74% decrease. Our combined federal and state income tax rate for the second quarter of this year was 37.8% compared to 37.5% in the prior year's quarter. Diluted earnings per share of $0.05 based on 19.4 million weighted average diluted shares outstanding exceeded our guidance of $0.03 and compared to $0.18 in the second quarter of 2012, based on 19.5 million shares outstanding. Net income for the first half of 2013 of $4.2 million compares to $11.6 million in the same period last year, a 64% decrease. Our income tax rate was 37.6% compared to 37.5% in the prior year. Diluted earnings per share of $0.22, based on 19.3 million weighted average diluted shares outstanding, compared to $0.60 on 19.4 million shares last year. I would now like to turn to our balance sheet. Cash and cash equivalents at the end of the quarter decreased by 1% to $43.6 million compared to $44.1 million a year ago. Inventory was $100.1 million at the end of the quarter, up 17.4% compared to $85.2 million at the end of the second quarter last year, but represented a 5.7% increase on an average store basis. Our working capital was $76.6 million, 16% greater than at the end of the second quarter last year. And we had no borrowings on our $60 million revolving line of credit during the first half of year. With respect to forward-looking guidance, we are projecting third quarter fiscal 2013 net sales to be between $149 million and $151 million, which reflect a low single-digit comparable store sales decrease versus a 1.4% comparable store sales decrease incurred in the third quarter of fiscal 2012. We also expect that pressure on gross profit margins related to inventory calibration efforts will moderate in the third quarter, but that additional selling, general and administrative expenses related to depreciation and preopening in particular, will result in some deleveraging. In addition, the company will incur additional interest expense associated with the term loan utilized to fund the dividend distribution which will result in a reduction in earnings per share of $0.02 per share. And therefore, we project diluted earnings per share for the quarter to be between $0.12 and $0.14 compared to $0.21 per share in the third quarter fiscal 2012. With the 52-week fiscal year ended February 1, 2014, comparable store sales are forecasted to be down low to mid-single digits, but we expect to see further improvement in sales results as we progress throughout the second half of the year. As a reminder, 2012 was a 53-week fiscal year and sales and EPS related to the 53rd week were $6.3 million and $0.04, respectively. I would now like to turn the call back over to Jeff.
Jeffrey J. Gordman: Thanks, Mike. We continue to focus our efforts on a number of initiatives in 2013 that we believe will contribute to improved results for the remainder of the year, as well as over the long term. First, based on the success of the pilot program, we rolled out a loyalty rewards program to all stores in the second quarter that is designed to reduce reliance coupon events while expanding our transaction frequency and average sale per transaction. Since rollout of our loyalty program called gRewards in May, we had experienced meaningful increases in the average sale per transaction by loyalty guests compared to non-loyalty guests. Second, we plan to more aggressively capitalize on the sales opportunities in both the Misses and Juniors Apparel businesses and a split on Misses and Juniors merchandise manager responsibilities. As a result, we are currently searching to fill the Misses DMM position in addition to an open Home DMM position. Third, we are continuing our efforts to broaden merchandise selection by injecting greater diversity and breadth into assortments to ensure a better balance by category, price, lifestyle and brand by merchandise classification, and expect to see results continuing to improve quarter-by-quarter. We are also focused on exploiting product category expansion opportunities, such as women's designer brand outerwears, electronic gifts, premium denim, denim Men's and Juniors lightweight outerwear, women's fall dresses, licensed apparel and Children's active wear. Fourth, in March, we commenced construction of our second distribution center in Indianapolis, a 545,000 square-foot facility with a 100-store capacity, which is on track to be operational at the end of the second quarter next year. In addition to construction of the new facility, we are enhancing many of our systems and processes in order to operate effectively in a 2 distribution center environment. We believe that these initiatives, in combination with a number of others, including store and labor management and our new branding campaign, which combines TV, branded spots with merchandise spots, positions our company to achieve our long-term growth plans. We would now like to open up the floor for questions.
Operator: [Operator Instructions] And we'll go first today to Neely Tamminga with Piper Jaffray.
Neely J.N. Tamminga: Couple of questions here. Jeff, could you talk a little bit more about that loyalty program? You gave a few metrics I think on the early learnings. Just wondering if what you're experiencing from kind of like a time to redemption sort of perspective? As you've launched that chain-wide, I would think that there's going to be a little bit of a lag in terms of when people earn the points from then can redeem the points. What has your experience been related to that?
Jeffrey J. Gordman: Thanks, Neely. With respect to redemption, we have not rolled out the technology platform associated with our gRewards loyalty program yet, which also includes voucher management. Voucher management is it electronic delivery and redemption of awards. Once that's rolled out, which would be next month, our guests will essentially receive their award immediately and be able to redeem it the day after it's earned. Currently, once a guest earns an award, there's a 30-day lag time typically, or a little bit more, as they receive their awards via U.S. mail. So you are, in fact, correct. Once we have this technology platform rolled out, we'll see additional benefit from gRewards through more timely and more aggressive redemption.
Neely J.N. Tamminga: Okay. That's really helpful. And then, as it relates to Juniors, I apologize, if on the call, I'm a couple of minutes late, could you comment about your Junior's business? I'm sorry if you did. And then kind of how maybe that tracked throughout Q2 and how you're feeling about it for Q3? And then I have one more follow-up, please.
Michael D. James: Neely, it's Mike. Thanks for that question. Our Juniors business in second quarter strengthened vis-à-vis first quarter, and we're seeing slight improvement over that in the back-to-school period. Highlights of that could include our Junior-related separates business and a strengthening in our Junior tops business, which are 2 major portions of our Junior sales or Juniors business.
Neely J.N. Tamminga: And that was consistent with some of the strategies that you put into place, is that right, Mike, earlier this year?
Michael D. James: Yes.
Neely J.N. Tamminga: How do you feel, relative to the strategies?
Michael D. James: Yes. Both areas reflect the strategy in terms of diversification of our assortments. We added 2 new brands in Junior-related separates in the second quarter, specifically XOXO and Bayer [ph]. In the case of Junior tops, we have more diversified assortments versus just singular ideas last year, so we're seeing some improvement which we believe is driven by our change in our merchandising strategy.
Neely J.N. Tamminga: That's helpful. And then for Jeff or Mike, the inventory levels, I mean, should we be concerned? I hear that they're only up about 5.7% on average store basis, but still seem to be a little bit of a spread relative to comp overall. Should we be thinking about kind additional margin liability in Q3 or when should that kind of flow-through? Or do you feel really good about the currency of that inventory?
Jeffrey J. Gordman: Neely, I'll take this one. First, with respect inventories, on a shifted -- that is, on a comparable calendar basis, our inventories, on an average basis, were up 3% versus what we indicated in our prepared remarks of up closer to 6% on a fiscal basis. Secondly, it represents certainly a continuing decrease on an average store basis versus last year. We do feel very good about the currency of our inventory. When we look at aging in terms of percentage of our inventory, 60 days or less, as well as clearance penetration, it continues to improve and, we're essentially, approximately, at last year's levels, in terms of both of those metrics as of the end of the second quarter.
Operator: And we'll go next to Richard Jaffe with Stifel.
Richard Ellis Jaffe: I guess, 2 questions, one with the onetime dividend and the assumption of some debt. Looking forward, what's the cash balance you guys want to maintain as a cushion, if you will, against the down quarter or down quarters and in order to be able to continue to fuel the growth you've seen? And then in terms of merchandising, with 2 new leaders to be replaced, wondering how the changes have progressed so far. And what changes -- what's left to do until the team is -- your dream team, that everybody in place?
Michael D. James: Thanks, Richard, this is Mike James. To address the cash balance, we expect as our -- our cash after payment and dividend is still going to be in the $10 million to -- $15 million to $20 million range for the better part of the year. We do have a significant amount of availability, or of undrawn availability in our revolving line of credit, which we increased from $60 million to $80 million. We've not drawn on that facility since 2011. It's typical in some years to have some borrowings in the late third, early fourth quarter just due to seasonality. But we believe that the minimum cash balance, in connection with the significant availability that we have on our revolver, would be more than sufficient to -- for our growth plans to continue.
Richard Ellis Jaffe: And the merchandising team?
Michael D. James: Richard, the 2 openings you mentioned were strategic in nature, in terms of adding a position and also then upgrading the talent in the other position, when we have those 2 positions filled, we will have, what I believe is, an extremely strong leadership team within the merchandising ranks. However, I'm going to also add that we're always looking to elevate our talent within the merchandising ranks, both at the DMM and the buyer level. And it's an ongoing process for us to acquire and to develop world-class talent.
Richard Ellis Jaffe: So do you think you're where you want to be now, once these 2 jobs are filled or should be anticipate further changes?
Jeffrey J. Gordman: No, I think, we are, in large measure, where we need to be in DMM ranks. And those 2 positions are, in fact, when we select the candidates for those 2 positions, and we're very close on one of them.
Operator: [Operator Instructions] And we'll go next to Evren Kopelman with Wells Fargo.
Evren Dogan Kopelman: I wanted to ask about -- it's encouraging to see the Apparel comp number, I think you said positive low single, but I was a little surprised about the Home, we're hearing more positive news across the industry on Home, given, I think, some of the activity in the Home market. Can you comment on what's may be working, what's dragging the Home business, then initiative for the fall holiday season there?
Jeffrey J. Gordman: Certainly. Now Home, by the very nature of its product, takes longer to affect change in. We anticipate the Home business will improve beginning in the fourth quarter. The same initiatives that we have going on in the balance of merchandising, in terms of adding diversity and newness to our assortments, also apply to Home. And specifically, there are 4 to 5 major categories that will drive sales in the fall season. We've been focusing on our holiday Home business, our electronic gift business, our pet business, kitchen/housewares and our toy business, as providing traction for us going into the fourth quarter and a very important holiday key selling season.
Evren Dogan Kopelman: For the other questions, on the third quarter comp guidance, it's similar, a low single-digit comp decline to the second quarter you just reported. Is the comp position by category different in terms of your assumption for Apparel, Home and Accessory? Or do you expect a similar mix by category for comp for the third quarter?
Michael D. James: I'd say, it's -- speaking from the merchandising side, we expect a similar comp mix within our business. Apparel is stronger than Accessories or Home, but I don't think it will measurably impact the mix of our business overall.
Evren Dogan Kopelman: Great. And then lastly, a lot of retailers have reported soft Q2 results, but commented that back-to-school August trends have accelerated significantly from what they've been reporting for Q2. Would -- have you seen stronger trends in August, post Q2?
Jeffrey J. Gordman: We have seen for August a slight improvement in our trend relative to Q2. I would characterize it as slight and not more than that.
Operator: We'll take our last question today from Mark Altschwager with Robert W. Baird.
Mark R. Altschwager: I was hoping to dig a little bit further on gross margin guidance and wonder if you could break that down in a bit more detail -- I'm sorry, quarter performance as well as gross margin. I'm just trying to understand how much of the pressure was driven by competitive pressures, higher promotions versus the previously discussed moves to align inventory. I'm just -- how each of those things trended versus expectations would be helpful.
Jeffrey J. Gordman: Sure, this is Jeff. With respect to margins for last quarter, the pressure was almost entirely attributable to working to get our merchandise inventories more in line from an aging and clearance penetration perspective rather than promotional pressure. As you know, we are at everyday value price selling proposition retail model. And as such, since we're up to 60%-off regular, non-promoted department and specialty store prices every day, we don't really engage in that promotional type of activity. So once again, and it was really attributable to just recalibrating our inventories and positioning them for third and fourth quarter business.
Mark R. Altschwager: Okay. And then looking at the back half, I know that guidance is for that pressure to abate, but EPS guidance in the third quarter would presume that gross margin is still down pretty meaningfully year-over-year. I mean, are we looking at that the right way? And then any other comment on that will be helpful.
Jeffrey J. Gordman: We anticipate that gross margin is going in -- or in the second half of the year will be fairly comparable to Q3 and Q4 of last year, within 10 or 20 basis points. So we certainly don't anticipate the deterioration that we saw in the first half of the year.
Mark R. Altschwager: Great. And then, finally, new store productivity, can you just talk about what you're seeing there? Most recent quarter? I believe in the past, you said new store typically generates around $7 million in the first year. Any reason to think if future openings would deviate from that?
Jeffrey J. Gordman: With respect to our new store performance, when we take a step back, we're definitely within range of our model. We model new stores at $7 million. We're a little bit below that, in part, simply just due to the pressure that we've experienced with respect to comp store sales. So we do feel very good about our new store unit economic model and it's representative of what we've experienced with respect to all of this stores in aggregate that we've opened since 2008.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'll turn it back Jeff Gordman for closing remarks.
Jeffrey J. Gordman: Thanks very much. It's been a pleasure to be with you today to highlight our operating results, expansion plans and selected business initiatives, and discuss our recapitalization transaction that was approved by our Board of Directors. On behalf of the entire management team, thanks so much for your continued interest in and support of our company. I would also like to express my gratitude for the hard work and passion for our mission of delighting our guests with big savings, big selection and fun, friendly associates, demonstrated by over 5,000 associates throughout our company. Thanks very much.
Operator: Ladies and gentlemen, we thank you for your participation. This does conclude today's conference. Have a great rest of your day.